Operator: Good day, and thank you for standing by. Welcome to the DTE Energy Second Quarter 2021 Earnings Conference Call [Operator Instructions].  I would now like to hand the conference over to your speaker today, Barbara Tuckfield. Please go ahead.
Barbara Tuckfield: Thank you, and good morning, everyone. Before we get started, I would like to remind everyone to read the safe harbor statement on Page 2 of the presentation, including the reference to forward-looking statements. Our presentation also includes references to operating earnings, which is a non-GAAP financial measure. Please refer to the reconciliation of GAAP earnings to operating earnings provided in the appendix. With us this morning are Gerry Norcia, President and CEO; and Dave Ruud, Senior Vice President and CFO. And now I'll turn it over to Jerry to start the call this morning.
Gerry Norcia: Thanks, Barb, and good morning, everyone, and thanks for joining us today. I hope everyone is staying healthy and safe. This morning, I'll recap our performance for the second quarter, then Dave will provide a financial review of the quarter and wrap things up before we take your questions. So let's start on Slide 4. We are making great progress this year at DTE for our team, our customers and our communities, positioning us to deliver for our investors. This progress has produced a strong second quarter and positions us well for continued growth. Our distinctive team of 10,000 plus employees continues to be recognized for our engagement by Gallup with our ninth consecutive Great Workplace Award, continue to build on this strength with our focus on diversity, equity and inclusion to create an even better workplace for all our employees where everyone feels valued, welcome and able to contribute their best energy. Our company celebrated Juneteenth together last month with a series of virtual meetings, we pay tribute to this important day with local community partners. A number of employees offered reflections on what the day means to them personally. Overall, it was a great way to come together and honored a significant holiday. We understand that all people thrive and succeed when they feel included and welcome. We continue to focus on service excellence for our customers and delivering clean, safe and reliable energy as we continue our clean energy transformation. DTE Electric received approval from the MPSC to further expand the voluntary renewable program MIGreenPower, while also making it even more affordable, including increased access for low income customers. Additionally, we partnered with Ford Motor Company to install new rooftop solar and battery storage technology at the Ford Research and Engineering Center. The array includes an integrated battery storage system and will be used to power newly and installed electric vehicle chargers. This can generate over 1,100 megawatt hours of clean energy. We also continue to support the communities where we live and serve. We were also recognized by Points of Light for the fourth consecutive year as one of the Civic 50. This award highlights DTE as one of the top 50 community minded companies nationwide and corporate citizenship. We also launched a Tree Trim Academy to create 200 high paying jobs in Detroit. DTE has a need for Tree Trimmers and the community has a need for good high quality jobs. It will also help us continue to improve electric liability as trees account for over 70% of our customer outages. On the investor front, we completed the spin of the midstream business. Now DTE Midstream is a stand-alone company and DTE Energy is a predominantly pure-play utility with 90% of operating earnings coming from our utilities. The transaction went very smoothly and was well received by all stakeholders. We didn't miss a beat on a very strategic transaction and many said we made it look easy. Many thanks to the DTE team and our advisers that made this effort a great success for our employees and our investors. We delivered a strong second quarter with earnings of $1.70 per share, and we are raising our 2021 operating earnings guidance and continue to pay a strong dividend. Let's turn to Slide 5. DTE is continuing to deliver successful operating results. At DTE Electric, we made another significant step toward our goal of reducing carbon emissions as we retired River Rouge Power Plant in the second quarter. For over 60 years, the River Rouge Power Plant delivered safe, reliable and affordable energy for communities throughout Southeast Michigan. River Rouge is one of the three coal fired power plants DTE is retiring by the end of 2022, which is an integral part of our company's clean energy transformation. We continue to look at ways to accelerate our coal fleet retirements and potentially file our updated IRP before September of 2023. We continue to expand on our voluntary renewable program, which is exceeding our high expectations. In the first quarter, we announced the commitment of new customers to MIGreenPower, including the State of Michigan, Bedrock and Trinity Health. During the second quarter, we signed up a number of new large customers, including Detroit Diesel, which is now one of our largest voluntary renewable customers. The program continues to grow at an impressive rate. So far, we've reached 950 megawatts of voluntary renewable commitments with large business customers and approximately 35,000 residential customers. We have an additional 400 megawatts in the very advanced stages of discussion for future customers. MIGreenPower is one of the largest voluntary renewable programs in the nation and helps advance our work towards our net zero carbon emission goal, while helping our customers meet their decarbonization goals. We have made progress with our expedited tree trimming program, which is greatly improving reliability for our customers and have received Michigan Public Service Commission approval to securitize the tree trimming costs along with costs associated with the River Rouge Power Plant retirement. At DTE Gas, we are on track to achieve net zero greenhouse gas emissions by 2050. We began the second phase of construction on our major transmission renewal project in Northern Michigan in June. The project includes the installation of a new pipeline, as well as facility modification work which will reduce the risk of significant customer outages. Project is on track to be in service by the first quarter of next year. Last quarter, we announced our New CleanVision Natural Gas Balance program. This program provides the opportunity for customers to purchase both carbon offsets and renewable natural gas to enable them to reduce their carbon footprint. We are proud of how fast the program is growing. Early we have over 3,000 customers subscribed and we are looking forward to seeing it become as successful as our voluntary renewable program at DTE Electric. On our Power and Industrial business, we continue to add new projects as we began construction on a new RNG facility on a large dairy farm in South Dakota. This will be P&I's largest dairy R&D project to date. Project will directly inject RNG into the Northern Natural Gas system for sale into the California transportation fuels market. Facility is expected to be in service in the third quarter of 2022. We are also in advanced discussions on several new industrial energy and R&D projects, and we'll provide updates on these as they progress. P&I was also recognized by the Association of Union Contractors with the 2020 Project of the Year Award for the Ford Dearborn cogeneration project. Overall, I am extremely proud of the team's accomplishments year-to-date and I'm looking forward to more successes in 2021 and beyond. Now moving on to Slide 6. As I said, we've had a very strong start to 2021. We are raising our operating earnings guidance midpoint from $5.51 per share to $5.77 per share, moving our year-over-year growth and operating EPS guidance from 7.4% to a robust 12.5%. We are able to use some of this favorability to position the company to continue to deliver in future years. We mentioned in Q1, we were deep into planning for 2022 in a great level of detail. With all of this work, we feel great about achieving a smooth 5% to 7% growth trajectory into 2022 and through the five year plan. You are not going to see any surprises from us in our growth rate in 2022 in spite of the [indiscernible] rollup and the converts coming due. 90% of our future operating earnings will be from our two regulated utilities where we have a large investment agenda with $17 billion of capital investment in our five year plan, focused on clean energy and customer reliability. Overall, we feel very confident with our performance in 2021 and our future operational and financial performance. Now I'll turn it over to Dave to discuss DTE's financial performance. Dave, over to you.
Dave Ruud: Thanks, Gerry, and good morning, everyone. Let me start on Slide 7 to review our second quarter financial results. Total operating earnings for the quarter were $329 million. This translates into $1.70 per share. You can find a detailed breakdown of EPS by segment, including our reconciliation to GAAP reported earnings in the appendix. I'll start the review at the top of the page with our utilities. The second quarter was a really warm quarter for us here in Michigan. In fact, it was the seventh warmest on record. DTE Electric earnings were $238 million for the quarter, which was $19 million higher than the second quarter of 2020, primarily due to higher commercial sales, rate implementation and warmer weather, offset by nonqualified benefit plan gains that we had in 2020. As we mentioned in the first quarter call, we've taken steps to reduce the variability of these investments going forward. Moving on to DTE Gas. Operating earnings were $7 million, $4 million lower than the second quarter of last year. The earnings decrease was driven primarily by the warmer weather in 2021, offset by new rates. Let's keep moving to the Gas Storage and Pipelines business on the third row. Operating earnings for GSP were $86 million, which was $16 million higher than the second quarter of 2020, driven primarily by the LEAP pipeline going into service and strong earnings across the pipeline segment. On the next row, you can see our Power and Industrial segment operating earnings were $34 million. This is a $9 million increase from second quarter last year due to new RNG projects beginning operation. On the next one you can see our operating earnings at our Energy Trading business were $21 million, which is $16 million higher than second quarter earnings last year due primarily to strong performance in the gas portfolio. Year-to-date through the second quarter, this positions us positive to our expectation and our original guidance for the year. Finally, Corporate and Other was unfavorable $22 million quarter-over-quarter, primarily due to the timing of taxes and higher interest expense. Overall, DTE earned $1.70 per share in the second quarter of 2021, which is $0.17 per share higher than 2020. Moving on to Slide 8. Given the strong start to the year, we were able to use this favorability to position ourselves to continue to deliver for our customers and investors in future years. And we are also increasing our 2021 operating EPS guidance midpoint $5.51 per share to $5.77 per share. The increase in guidance is due primarily to warmer than normal weather, sustained continuous improvement and uncollectible expense variability at DTE Electric, higher REF volumes at P&I and stronger performance of energy trading due to the realization of gains from a small, long physical storage position during the extreme cold weather event in Texas in the first quarter. In the third quarter, we are seeing additional sales upside for Electric compared to our plan and higher than planned REF volumes at P&I. We are continuing to explore opportunities to support future years through our invest strategy and to support future customer affordability. As you can see on the slide, there is no Gas Storage and Pipeline segment in our operating guidance for this year. The GSP segment will be classified as discontinued operations starting in the third quarter. Let's turn to Slide 9 to briefly discuss our balance sheet and equity issuance plan. We continue to focus on maintaining solid balance sheet metrics. Due to our continued strong cash flows, DTE is targeting no equity issuances in 2021 and has minimal equity needs in our plan beyond the convertible equity units in 2022. We have a strong investment grade rating and targeted an FFO to debt ratio of 16%. With the proceeds from the spin off of DTM, we are retiring long term parent debt of approximately $2.6 billion after debt breakage costs. These were NPV positive transaction and immediately EPS accretive as we were able to retire a higher interest rate debt to support our current plan and to deliver our 5% to 7% operating EPS growth rate. Now I'll wrap up on Slide 10, and we open the line for questions. We feel great about our second quarter accomplishments and we are confident in achieving our increased 2021 guidance and continuing to deliver on our long term 5% to 7% operating EPS growth rate. Our utilities continue to focus on our infrastructure investment agenda, specifically investments in clean generation and investments to improve reliability and the customer experience. We continue to focus on maintaining solid balance sheet metrics and are targeting no equity issuances in 2021. In closing, after executing a successful spin of our midstream business, DTE continues to be well positioned to deliver the premium, total shareholder returns that our investors have come to expect over the past decade with strong utility growth and a growing dividend. With that, I thank you for joining us today, and we can open the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of Shar Pourreza with Guggenheim.
Shar Pourreza: So just on the IRP that, Gerry, you kind of referenced in your prepared, your peer obviously has an aggressive decarbonization plan out there, probably one of the more aggressive plans. Can we maybe just get a sense on how you're thinking about your upcoming IRP and sort of not to frontrun the process. But can you get out of all your coal prior to the 2030s?
Gerry Norcia: Well, we're looking -- Shar, we're looking at how we can accelerate our coal retirements. We've started with a larger position in our coal fleet and our self-generation fleet. So we are looking very closely at how we can accelerate all of these retirements prior to 2040. So you'll recall that in our prior IRP, we were retiring all of our coal by 2040. So we're looking at acceleration scenarios to pull that forward. And as I've mentioned in past discussions, we will update you likely at the end of the year or early next year as what those plans may look like. And we're spending a lot of time with various stakeholders through the summer, including our Board, having those conversations, trying to balance the interest of acceleration and of course, affordability and reliability.
Shar Pourreza: And Gerry, can EEI be the right podium to disclose the updated plan?
Gerry Norcia: It will either there, Shar, or early in the new year,t hat's the range of timing that we're looking at right now. We'll get a little tighter on that as we go forward.
Shar Pourreza: And then just as a follow-up, sort of between kind of already strong rate base growth at DTE Electric and Gas, which obviously exceeds your earnings guidance growth rate, and you have the potential to accelerate decarbonization with the updated IRP coming. And I guess how does all this kind of play into your 5% to 7% growth rate? Obviously, I understand you've taken a conservative bend here. But could we see some incremental upside here in time, especially if you decarbonize faster than what's in your current internal planning assumptions?
Gerry Norcia: Well, we're looking -- obviously, we're in the middle of all of that analysis. And as you've mentioned, Shar, typically, we update our capital forecast at EEI for our five year outlook. And as we start to build in these earlier retirements, there could be impact on the back end of that plan. As you recall, the back end of our plan return more to the average in terms of rate base growth and earnings growth of the two utilities. So likely it will be impactful in the back end of that plan. So more to come on that, Shar, but we're working through all those details now.
Operator: The next question is from Jeremy Tonet with JPMorgan.
Jeremy Tonet: I know that GSP is now discontinued. So obviously not a focus going forward in the same way. But just wanted to better understand, I guess, what was happening here. If I look at the results so far, it seems like GSP had put up 56% of the high end of the guidance already. And so I was just wondering if you could expand a bit more on what specifically GSP did to kind of exceed expectations in the first half? Or if there was something baked into later in the year that was going to weigh down? Just trying to understand a bit better what was happening there.
Gerry Norcia: We can comment on the first half, and I know the pipeline company will have their earnings call here later, I think early next month. So I'm sure they'll comment on that. But what we can talk about is the first half of the year, and we just saw favorability in all the platforms across the board, our southern platforms and our northern platforms.
Jeremy Tonet: I mean were those sustained or is there anything kind of onetime in nature that was a positive benefit?
Gerry Norcia: Again, it was a pickup in activity and value across all our platforms, both in the Appalachia platforms and the Haynesville platform. I think in terms of forward looking that will be more appropriate for DTM to describe.
Jeremy Tonet: And maybe just kind of pivoting over to the electric utility, some really strong results there. And just wondering if you could provide a bit more color with regard to low trend recoveries there. It seems like commercial sales were coming better. But just wondering if you could provide a little bit more detail on how things materialize versus your expectations versus your guidance for the segment and how you see that kind of trending?
Gerry Norcia: Dave, do you want to take that?
Dave Ruud: First, if you look at quarter-over-quarter that we have in there, you could see that was way up, and that was especially commercial and industrial, that was really because we were comparing back to the worst period of the pandemic. So quarter-over-quarter, we saw commercial and industrial way up. Interestingly, we saw residential stay pretty flat quarter-over-quarter. And that's interesting because last year with people working from home, we saw our residential load running at an average of about 8% higher than we would have expected pre pandemic. And this year, so far, we're seeing that continue even though there has been some return to work that we still see but we're seeing this favorability at residential, and that's what's driving some of the favorability. So we've expected it to reduce more. But at this point, it's pretty sticky. So we're going to be watching this closely to see how it plays out and how it can impact really customer affordability going forward if it's remained sticky. I would say on commercial load, I mean, that's come pretty much all the way back from as to what we would have expected. At the kind of the height of the pandemic, we thought we'd see some more bankruptcies and closures in commercial, and we really haven't seen that. So we've seen our commercial load really come back to as expected. Industrial load was coming back and pretty much came back, but that has some variability in it due to some of the instability really or the challenges at the auto plants right now with the chip shortages, they're running a little more sporadically. But really it's been a great return to load and then the residential remains really sticky for us.
Jeremy Tonet: If I could slip in one more on RNG. Just wondering if you could expand a little bit on how large do you see this business kind of growing over time, it seems like there's more of a focus there? And how do you see the growth rate of that business kind of comparing to the rest of DTE?
Gerry Norcia: Well, the nonutility business will make up no more than 10% of overall operating earnings for the company. So the growth will be modest compared to the growth that we're seeing at our two utilities. We're planning to put to work over the next five years in our two utilities and somewhere between $1.5 billion and $2 billion to work in our nonutility businesses. So it will be modest levels of investment. We don't need a lot of income growth from that business. So we're being really picky and discerning about the type of projects that we invest in, in RNG, where we're seeing three to four year paybacks, simple cash paybacks and unlevered IRRs after tax in the teens. So that's what we're going after. So not a lot of pressure to grow there. And so we're being very discerning about our growth projects.
Operator: Your next question is from Julien Dumoulin-Smith with Bank of America.
Julien Dumoulin-Smith: Quick question. I think you've alluded to it a couple of times, and I think Jeremy might have been trying to get at this. But you've alluded to a smooth trajectory here of 5% to 7% into '22. I just want to make sure that sort of on balance net of all these items the ballpark where we should still be assuming, right?
Gerry Norcia: That’s correct, Julien. We're going to be -- typically, we target the midpoint of our growth rates, that's how we plan for our business, that's how we build contingency plans, and that's what we're going to deliver next year.
Julien Dumoulin-Smith: And then perhaps even more importantly here, as you think about layering in these incremental items, be it the IRP at some point or frankly some of the renewable opportunities that are more on the voluntary side and/or some additional, as you say, perhaps late stage or advanced stage conversations on the industrial and R&D side. What's that outlook, the time line here? Some of the IRP updates maybe beyond the five year or do you think that some of that actually accrues the near term? I would presume the voluntary renewables and the nonutility businesses would be more in that five year period?
Gerry Norcia: The voluntary renewables update that we'll provide in the fall will certainly play into the five year plan. I would say the IRP work that we're doing could come into the five year plan, the latter part of the five year plan, but certainly there will be a good story beyond the five year plan as well.
Julien Dumoulin-Smith: And then maybe to clarify your earlier comment about sort of showing a normalization in the rate based growth trajectory when you commented to Shar. Is that beyond the five year that you’re talking about or is that even within the five years that you’re kind of alluding to potentially seeing a more sustained current level of rate based growth rather than that normalization trend?
Gerry Norcia: What we are seeing, Julien, is growth rates and our operating earnings growth to utilities higher than our average that we’ve advertised, the 9% at the gas company and 7%, 8% at the electric company in the first couple of years of our five year plan, and that’s helping us deliver that smooth EPS growth rate that we’ve described. And then that returns more to the average in the out years of the plan as we’ve described.
Julien Dumoulin-Smith: So despite the long term nature of some of the IRP, on balance, we could see some of that really accrue into the back half of this five year plan, regardless…
Gerry Norcia: That’s possible. Too early to tell, but certainly possible.
Julien Dumoulin-Smith: And just again to come back to Jeremy’s quick [revision] there on the RNG side. Again, your 10%, you're sticking with it, right? So we should really be thinking about scaling at the sizing within that bucket, right?
Gerry Norcia: Right.
Operator: Your next question is from Insoo Kim with Goldman Sachs.
Insoo Kim: My first question on the financing side of things. When you think about the five year growth plan and beyond 2023, how should we think about potential equity needs in the back half of that plan and what's embedded in your guidance?
Gerry Norcia: Dave?
Dave Ruud: Right now, you've seen we've given the guidance through the three years, which only has really acquisitions as those converts that come in '22. As we look out of the five year plan, our goal is going to be to continue to minimize the equity issuance we made and that's how it fits within the plan that we're looking at right now.
Insoo Kim: So based on the base -- the current CapEx plan, you're looking at more moderate level of needs that’s kind of like what you're seeing on the 2023 front?
Dave Ruud: Right.
Insoo Kim: And then just going back to RNG a little bit, I appreciate the earnings mix that's going to have in the overall portfolio. When you talk about the strong returns that you're talking about, are you seeing increased competition now with a lot of other players focused on that? And as you look out at potential new projects, are you seeing those translating into a tougher returns on a comp basis?
Gerry Norcia: What we're seeing is with the level of investment that we have to make, which is a couple of RNG projects a year, a couple of dairy farms a year, is another way to think about it. Not really having trouble originating greenfield, where we've seen things get a little more frothy is when assets are up and right, people are paying a lot of money for these assets that are up and running, private equity and other types of investment vehicles. But on the origination front, greenfield, we're able to get the returns we want to get the projects that we want.
Operator: Your next question is from Jonathan Arnold with Vertical Research.
Jonathan Arnold: Well, on the trading in the quarter, which you said was gas portfolio, was that really the sale of storage out of -- related to the winter storm event or was that favorability more in the first quarter, and this was just continued good performance? Just curious what's driving that?
Dave Ruud: This was just continued good performance of the trading group in the gas portfolio. But I can't say what gave us the confidence to raise the guidance was the favorability we had from that small physical storage position that gave us the gain during the first quarter during that cold weather in Texas. So our expectation going forward and future years is that we'll be more in line with our original guidance when we don't have those kind of unexpected onetime things.
Jonathan Arnold: And then just back to the growth rate and the comments about [smooth], Gerry, just to be clear, you're talking off of the original 2020 midpoint, right, which was, I think, [5.13]. I just want to be sure that -- is that the number of which you're intending to show [smooth] 5% to 7% growth, and we should think of sort of this Q '21 favorability, which kind of puts you above that range, but you're still using that as the base? I just want to be clear about that.
Gerry Norcia: You're correct, we're using the original 2021 guidance that we provided as the basis for our growth rate.
Jonathan Arnold: And is that '21 or 2020?
Gerry Norcia: 2020, but it would be similarly smooth for '21 because we target midpoint for each of the years in terms of original guidance as a starting point.
Jonathan Arnold: So we should just be calibrating off of original guidance in both cases and that…
Gerry Norcia: Correct.
Operator: Your next question comes from the line of Durgesh Chopra with Evercore.
Durgesh Chopra: Maybe just update us on what's the most latest on the gas rate case front and then the timing of the electric rate case, is that still sort of late this year?
Gerry Norcia: So on the electric rate case, yes, it's still late this year, no earlier than October of this year that we will file. And on the gas case, we've engaged in conversations with interested parties to try and move the case towards some form of settlement. But we're feeling pretty good about that in terms of how that case is progressing and the final outcome.
Durgesh Chopra: And then just a real quick clarification. I know you sort of addressed the demand trends, pretty strong quarter, Q2 '21 versus Q2 '20. Obviously, a ton of concerns around this delta variant. Anything sort of that is striking or sort of material for us to sort of talk about anything that you're seeing in your territory, I mean, any cause of concern as it relates to delta variant?
Gerry Norcia: We are not, at this point. Certainly, the large manufacturing that are starting to take actions to make sure that the delta variant doesn't impact our operations, things like masking and social distancing, are starting to be reintroduced somewhat in preparation to a potential delta variant surge here in Michigan. But we're not seeing anything that puts any of our margin at risk at this point in time.
Operator: Your next question is from Andrew Weisel with ScotiaBank.
Andrew Weisel: A lot of my questions were answered, appreciating the conservatism, given that you're growing 12.5% this year and you grew 9% -- or you beaten it by 9% in 2020. But we'll stick with 5% to 7% for now. Just two clarifying ones on 2021 outlook. First of all, does the updated guidance reflect July weather?
Gerry Norcia: Dave?
Dave Ruud: We do take into account weather into account, but there hasn't been too much weather in July, yes.
Andrew Weisel: Then on cash flow I see you updated the outlook from cash from operations to reflect the Midstream spinoff. What about the underlying DTE business? It looks like cash has been stronger than expected since you're pointing to no equity needs this year. Of that $300 million reduction, can you talk about how much was midstream if there was any change to the base business?
Dave Ruud: In the guidance update that was all taken out the second half of midstream. And you're right, we have seen some strength too, and we're coming in a little bit above our plan in cash so far this year, mainly due to strength in operating cash flows from electric and from some of the other businesses, too.
Andrew Weisel: But that strength is not reflected in the updated guidance, right? So there might be some upside?
Dave Ruud: Yes, there might be some upside. The guidance was really just taking out the midstream part.
Operator: Your next question is from the line of Ryan Levine with Citi.
Ryan Levine: Can you update us on longer term O&M outlook and now that we're emerging from a COVID environment, if you're seeing any more structural changes to your cost profile?
Gerry Norcia: We constantly work to maintain our O&M as flat as possible. And I think you'll see from our history that we're one of the better performing utilities in terms of being able to keep our O&M costs relatively flat. I think over the last several years, we've been about 1% CAGR on O&M. We do have significant opportunities to continue to do that looking forward. And that certainly is built into our growth plans as well as our affordability go gets for our two utilities.
Ryan Levine: Are you seeing any inflationary pressure for labor or any other component of your cost structure?
Gerry Norcia: We've been looking at that pretty hard as we started to build our plans for '22 and beyond. And we've got long term contracts for some of our key commodities on the material side. So we're not seeing pressure there. And with our contractors, I don't do a good portion of our work, those are obviously negotiated prices. And again, not seeing anything that would give us great concern at this point in time.
Ryan Levine: And then on Energy Trading, you had highlighted the increase in guidance range that largely was reflecting the year-over-year increase for the second quarter. Is there embedded conservatism for the second half outlook in light of some of the volatility in the gas prices and higher prices, or is there any color you can share on on what's driving the relatively no change to the second half half.
Dave Ruud: Yes, there is conservatism in that. As you can see, we put our guidance from 25 to 35, and we're pretty much within that range or at the top end of that range already. So we do have some conservatism in that number. And we'll just have to watch how it plays out throughout the year.
Operator: Our next question is from James Thalacker with BMO Capital Markets.
James Thalacker: One real quick question. And I know it's early in the IRP is sort of the end of next year, but as you're approaching the acceleration potentially of more coal. How are you thinking about, I guess, the regulatory recovery mechanisms for accelerating that that coal retirement, are you thinking more regulatory asset model or securitization potentially?
Gerry Norcia: What we're looking at are various techniques that we have at our disposal, one is accelerated depreciation. We're also looking at ways to make the asset lives longer in terms of getting ready and using additional and there’s all kinds of fiscal options for that that we're considering. And we're also looking at some tax strategies that could help smooth affordability as well. So multiple ways that we're looking at making the financing of the retirement of coal earlier more affordable to our customers, and also making sure that our investors get their value out of these assets.
Operator: We have a follow-up from Jonathan Arnold with Vertical Research.
Jonathan Arnold: Just one quick one. On the convert post the spin, I believe the numbers may change in terms of the shares that will convert into and what have you. Will that be disclosed in the Q or can you give us some guidance here as to what the implications of the spin with conversion?
Dave Ruud: Yes, there will be an adjustment to the settlement rates to ensure consistency of the economics. So it will change the convert price kind of in proportion with the equity price so that equity holders remain [whole], and Barb can send those mechanics to your -- you can contact Barb and get the actual mechanics of that, if you want, after the call.
Jonathan Arnold: But those are now set, David, it's really my question or are they still pending on trading levels?
Dave Ruud: I think with the trading levels, seeing where the stock price will be at the time of the converts still will affect that.
Operator: And your final question comes from the line of Anthony Crowdell with Mizuho.
Anthony Crowdell: Hopefully, two easy ones. I guess the first one, Gerry, earlier in the call, you were highlighting how the transaction team worked. You got the spin of DTE Midstream seems very seamless. I mean you seem like your transaction team is in mid-season form right now. Any thought to keeping them in shape with other transactions?
Gerry Norcia: Well, right now, Anthony, we're really focused on our $17 billion growth agenda to utilities, which is the lion's share of our CapEx and of course, having modest growth for our nonutility business, P&I and RNG and cogen primarily. So that's really our play right now for the next five years.
Anthony Crowdell: And then just lastly, post spin, and I just don't know the process. Do you know if your ESG score is under like a valuation now that the company has removed the ESP business. And looking at your new, I guess, environmental footprint, DTE classic. I mean, how often does that review happen, or any insight you can give on the potential for a change in your ESG score?
Gerry Norcia: So I would venture to say that our ESG metrics will improve with the spin of DTM. But Barb, maybe I'll get Barb to provide some insights to you, Anthony, as to when that might happen, when might we get the next score.
Barbara Tuckfield: Yes, those happen annually, typically. And right now, we're sitting above average on quite a few of those metrics.
Operator: I will now turn the call back over to Gerry Norcia for closing remarks.
Gerry Norcia: Thank you, everyone, for joining us today. I'll just close by saying that DTE had a very successful first half of the year, and we're feeling really good about the remainder of 2021 and also how well we're setting up for 2022. So I hope everyone has a great morning, and stay healthy and safe.
Operator: This concludes today's conference call. You may now disconnect.